Operator: Hello, and welcome to the Chesapeake Energy Corporation 2021 Third Quarter Earnings Conference Call. All participants will be in a listen-only mode.  After today's presentation, there will be an opportunity to ask questions.  Please note today's event is being recorded. I would now like to turn the conference over to your host today Brad Sylvester. Mr. Sylvester, please go ahead.
Brad Sylvester: Thank you Keith, and good morning, everyone, and thank you for joining our call today to discuss Chesapeake's financial and operational results for the 2021 third quarter. Hopefully you've had a chance to review our press release and the updated investor presentation that we posted to our website yesterday. During this morning's call we will be making forward-looking statements, which consist of statements that cannot be confirmed by reference to existing information, including statements regarding our beliefs, goals, expectations, forecasts, projections, future performance and the assumptions underlying such statements. Please note that there are a number of factors that will cause actual results to differ materially from our forward-looking statements, including the factors identified and discussed in our earnings release and in other SEC filings. Please note that except as required by applicable law we will undertake no duty to update any forward-looking statements and you should not place undue reliance on such statements. We may also refer to some non-GAAP financial measures, which help facilitate comparisons across periods and with peers. For any non-GAAP measures we use a reconciliation to the nearest corresponding GAAP measure can be found on our website. With me on the call today are Nick Dell'Osso, Sheldon Burleson, Tim Beard and Mike Wichterich. Nick will give a brief overview of our recent results and then we will open up the teleconference up for Q&A. So with that thank you again and I will now turn the teleconference over to Nick.
Nick Dell'Osso: Good morning and thank you Brad. Thank you all for joining our earnings call. I can't tell you how honored I am to lead this company and to collaborate with our exceptional colleagues, who our exceptional employees who I'm proud to call my colleagues. I'm very pleased with our strong third quarter results and could not be more encouraged about the direction we're heading as a company. Behind our talented workforce, strong balance sheet, great operational track record and advantaged ESG profile, I firmly believe Chesapeake sits in an incredibly strong position today and is poised to consistently deliver best-in-class returns to our shareholders. We're focused on executing the strategy we've articulated over the last eight months. Behind our disciplined capital allocation approach and continued focus on our cost structure, we intend to increase free cash flow enhance our scale and return significant cash to shareholders. Within that strategy our priorities over the coming year will be to refine our portfolio to assets where we intend to run development programs of scale, continue to leverage our technical ability and efficiency to reduce breakevens and lower our operating costs across our business. We'll accomplish this, while remaining steadfast in our commitment to ESG excellence and achieve net-zero direct emissions by 2035. Our earnings release and updated outlook for 2022 highlight our progress on all of these fronts. For the quarter, we once again had strong performance across our portfolio led by production beating our and The Street's expectations on lower spending. Our EBITDA of $519 million was certainly aided by commodity prices. However, our production outperformance was meaningful and allowed us to increase our oil production estimates for the full year by one million barrels. Our gas production is up materially as a result of our base and wedge outperformance, as well as the earlier than forecast closing of our acquisition of Vine. Importantly, we raised our EBITDAX estimate by $150 million while not raising our CapEx aside from the incorporation of Vine for November and December. Not surprisingly this results in a significant increase in our free cash flow and projected dividends for 2022. We were pleased to have closed the Vine acquisition earlier than our original estimated time line, allowing us to initiate the full integration process well before year-end. We have been working closely with the talented Vine team and very much appreciate their support in the transition process. We are continuing Vine's current drilling program of three rigs and two completion crews and look forward to highlighting the progress of the integration of our strong teams and asset bases as we get into 2022. Turning to 2022, we made a fairly material increase to our estimated EBITDAX for the full year that certainly bodes well for our free cash flow and variable dividend program. We're pleased to maintain our CapEx guidance for the year at a midpoint of $1.45 billion. Despite the fact -- despite the material increase in EBITDAX, we expect to recognize we're going to remain focused on our disciplined approach to capital allocation. Simply put, we have a clear strategy for each asset and that strategy holds regardless of near-term fluctuation in prices. Approximately 85% of our 2022 CapEx, will go to our highest certainty return opportunities in the Marcellus, Haynesville and South Texas, Eagle Ford. Each of these assets has a clear rationale for the rig count we laid out previously. The Marcellus is constrained. And so we will stay with three rigs there. The Haynesville is performing extremely well, and we will have a pretty significant increase in Chesapeake activity given the integration of the incremental three Vine rigs. In the South Texas, Eagle Ford, we're planning to run one to two rigs focused on the lower Eagle Ford. Our reduced cost structure and materially higher prices versus a year ago give us confidence in this multiyear program. Approximately 15% of our 2022 CapEx will be focused on further portfolio delineation, including activity in the Austin Chalk, and testing of wider spacing assumptions in Brazos Valley and Powder River, which we expect will deliver superior results. Ultimately, this capital investment will help us determine where these assets and opportunities fit in our portfolio. Switching gears slightly with much of the world's attention focused on Glasgow this week, I think it's important to reiterate the essential role we believe Chesapeake will play in supporting a lower carbon future, while continuing to deliver reliable affordable energy. We've seen proposed EPA rulemaking announced at COP 26 this week targeting methane emissions from our sector. This follows proposed federal legislation released last week imposing a fee from emissions, exceeding a methane intensity rate of 0.2%. We believe responsible production from unconventional resources in the US has a critical role to play in helping meet these goals, and we're proud to produce the energy that is so desperately needed across the world today. To put our emissions performance in perspective, we closed out the 2020 year with an enterprise-wide reported methane intensity of 0.13%. And now with our recent abatement efforts, coupled with our Vine acquisition, we're rapidly accelerating our path to reaching our 2025 methane intensity target of 0.09%. Further, we remain on track to fully certify 100% of our Gulf Coast production, as responsibly sourced gas this year, and Appalachia production by the middle of 2022. We expect the gas coming out of these two plays to have methane intensity of 0.02% to 0.03%. Once complete, Chesapeake will be positioned to directly deliver approximately three Bcf a day of certified responsibly sourced gas to end users around the globe. While we're proud of our current emissions profile, we're not satisfied with the status quo, which is why we plan to invest over $30 million in ESG-related and emissions reducing programs by year-end 2022. As part of this effort, the company anticipates retrofitting more than 19,000 pneumatic devices, primarily focused on our oil assets. This retrofit program commenced in the third quarter, initially focusing on our Brazos Valley business unit, and is now expanding throughout our oil plays. Once complete, the effort is expected to reduce Chesapeake's GHG and methane emissions by approximately 40% and 80% respectively. I look forward to addressing your questions momentarily. But first, I wanted to provide some additional color on my initial weeks leading Chesapeake. Since being named CEO, I've had the opportunity to visit with employees across each of our operating areas, and was energized by the passion and commitment to excellence that resides in this company. Our colleagues asked me many thoughtful questions regarding our commitment to capital discipline, half to increase in cash flow, plan to enhance our scale, outlook for returning cash to our shareholders, and commitment to lowering our emissions profile. Our employees press me on these questions, because they care greatly about our future. They firmly believe in our strategy, and they don't want to lose momentum which has been steadily building across our company over the last eight months. My conversations with our employees only strengthen my confidence in what lies ahead for our company. Our employees will and excitement for what we can accomplish together…  
Operator: Pardon me. This is conference operator. Please standby, the conference will be reestablished shortly. This is the operator. Can you hear me?
Nick Dell'Osso: Yes.
Operator: Okay. I'm sorry. You just certainly stop – stop speaking, so I thought you lost connection you're in the call.
Nick Dell'Osso: Okay. Great. I had finished speaking was ready to turn over for questions. Did that not – did I get cut off at some point there, operator?
Operator: You must be cut obvious I know you're ready I know you're ready for questions but that makes it for a good transition. So, at this time we will begin the question-and-answer session phone.  And today's first question comes from Scott Hanold with RBC Capital Markets. 
Scott Hanold: Yes. Thanks. Hey Nick, you all gave a -- obviously that preliminary 2022 outlook and considering you all have some pretty good exposure to the commodity. It looks like that free cash flow is going to be fairly robust next year. And you do have the variable dividend the fixed dividend program that do take care of some of that. But to the extent that the current commodity strip plays out, it looks like there's still a lot of free cash flow remaining. Can you kind of give us a sense of like, how you think about that? Is it debt reduction? Is it giving it back to investors, or is it selective looking at acquisitions? 
Nick Dell'Osso: Well Scott theoretically could be any of those. We believe in having a little bit of a cash balance around. It certainly doesn't need to be too large. We've said before, we don't intend to become a bank and hold large amounts of cash. But all of those things would be things, we would consider throughout the year. As far as further return to shareholders, certainly as cash builds and we're thinking about the best ways to maximize return for shareholders that's always going to be front of mind. And so, we've talked before about how we believe our Board should have the flexibility to consider variable dividends to consider stock buybacks. And we've set out now a 50% of free cash flow variable dividend program. So certainly one of the things that is possible out of that incremental cash as it builds would be a buyback on top of that. But look it's early. We want to see how cash builds through the year. We want to see what opportunities present themselves to the company and we'll be watching that closely, but we're pretty focused on making sure that cash flow comes in as step one. 
Scott Hanold: Understood. And then I think one of your first comments was talking about refining activity in the portfolio to areas where you've got scale. And it sounds like certainly the Haynesville and Appalachia would be two of the most prominent areas. Can you talk about some of the oil assets and where they fit in the portfolio both on a short-term and a longer-term perspective? 
Nick Dell'Osso: Sure. So I talked about the fact that 85% of our CapEx is going to go to a combination of the Marcellus, the Haynesville and the South Texas, Eagle Ford. And you should think about those as being long-term programs that we feel really good about. And then we are spending a little bit of money now and into next year looking at wider spacing in both the Brazos Valley and Powder River business units. Both of those BUs have shown that the parent wells that we've drilled were -- had some really great results. And so, we're going to watch these results really closely. But clearly we're trying to determine if there are -- if there is an ability to stand up a long-term development program in those assets of scale. And if there's not, then we'll make a different decision about owning them. But we think we're going to drill good wells and we think we'll have some decisions to make and we look forward to that as we get into next year. 
Scott Hanold: So if I'm interpreting that right, we shouldn't think of the PRB browses assuming those are divestiture candidates you've got some work to do and you could keep them within Chesapeake, if it made sense?
Nick Dell'Osso: That's possible yes. Yes. We're drilling the wells we're drilling because we think we can make the assets more valuable and we'll make a decision about whether or not they should be more valuable to us or more valuable in the A&D market. 
Scott Hanold: Great. Understood. Thank you.
Operator: Thank you. And the next question comes from Josh Silverstein with Wolfe Research. 
Josh Silverstein: Hey good morning guys. So maybe just flipping around the portfolio the other way. you guys just completed the Vine acquisition. There's a couple more private equity consolidation opportunities up in the Marcellus and the Haynesville as well. Can you just talk about your thoughts on using the balance sheet and free cash flow profile for continued consolidation in both those basins. 
Nick Dell'Osso: Sure. So we definitely believe in scale. When you think about what we've been able to accomplish with the Vine acquisition, we've been able to buy something that met all of our nonnegotiables. And those nonnegotiables remain. We think about those nonnegotiables just to repeat them, as not overpaying not breaking our balance sheet being accretive to our cash flow metrics and having an ESG and emissions profile that we can incorporate and make better within our portfolio. And those are going to remain really important to us and we're not going to stray from that. So, as you think about those other opportunities that are there, if we can achieve greater scale in a basin where we know we have had success and where we have an opportunity for synergies on top of all those non-negotiables then sure we will think about further M&A. But this non-negotiables create a high bar. And we were able to meet that bar in the acquisition. We're really going to be focused here in the near term on integration of that acquisition. But the A&D market is active as you note and we'll pay attention.
Josh Silverstein: And then just on the oil side two questions here. Within the framework of oil volumes in 2022 versus 2021 are all the declines in the PRB in East Texas has been the Eagle Ford stabilizing in that outlook. And then I know the Eagle Ford also has a high cost structure on the natural gas side. And I'm wondering now that you guys are a few quarters into post-bankruptcy and in a high price environment if there's any opportunity to restructure that agreement? 
Nick Dell'Osso: Sure. I'll comment first and then Sheldon or Tim may want to comment as well on the decline rates. But we are seeing the decline rates in our oil assets lessen. We're doing a lot of work in the field to improve upon those decline rates. We've spent some good workover dollars over the last year and we'll continue to do that. We're seeing good results from it. On the contract front, we have talked about the fact that our gas gathering contract in the Eagle Ford remains high and that we're exploring things with Williams to improve upon that over time and encourage further development. We're still very optimistic on that front. And I would say stay tuned. We hope to have something to talk about there in the future. These negotiations are always long. But the asset is strong. The geology encourages more development when you have the right cost structure above ground. And we and Williams are aligned with wanting to make sure that that plays out. 
Tim Beard: This is Tim. I can touch on the decline rate across the board. First and foremost, our base decline and the work that the field teams are doing is leading that base decline to be better than we've ever seen across the board. And I can touch on from asset-to-asset what we're doing. In the Gulf Coast they've done some things from changing our drawdown practices just both better optimize our economics but it's also not hurting our wells. In South Texas, the team has done a great job of identifying a capital cleanout program, that's been very accretive to what we're doing there on the oil side. Brazos Valley, we've had some cleanups as well, but we've also seen continued lift evaluation and some actions across the board where that field team in conjunction with engineering in Oklahoma City have done a fantastic job of identifying artificial lift plans that have continued to improve that base. In Appalachia, you can look at accelerated drawdown benefit from our wellhead compression program. I'm very accretive to what we're doing from an economic perspective across the field there. And then finally in the PRB, once, again artificial lift accelerating plunger lift installs, gas lift conversions, et cetera. Once again it goes back to the men and women that we have in the field. They're just doing a fantastic job of making sure that that base production not only improves stabilizes across the board. It's just a team effort and we couldn't be more proud of that team.
Operator: Thank you. And the next question comes from Charles Meade with Johnson Rice.
Charles Meade: Good morning Nick and Tim and Brad, the whole team there. Nick, I wanted to ask a question about how you're approaching allocating CapEx with this steep backwardation in the natural gas curve. And it's not just backwardated for the early part of 2022 but into 2023. So, can you give us a sense of was nice to see these high gas prices in the near term how are you guys approaching the allocation across assets in 2022 and then out into 2023 if that's not too far out.
Nick Dell'Osso: Yes. Thanks Charles and I appreciate the question. We talked about -- or I talked about in my prepared comments the concept that our capital allocation is not heavily influenced by short-term fluctuations in price. When we laid out our capital allocation initially for 2022, which is some number of months ago now and we continue to iterate around it we laid out a strategy that said we know the Marcellus has takeaway capacity constraints. And so there's a limited amount of capital that makes sense to spend there and we think we're spending an optimal amount. In the Haynesville, we're integrating an acquisition. And so we know we're going to be focused on that integration. We want that to go well. We're going to be really intently focused on our execution in the near-term here incorporating the Vine team, incorporating the learnings, we get from the Vine team and assets and making sure that we are moving forward and realizing the synergies that we had estimated for that transaction. So we feel good about that capital allocation and don't see that moving at least not materially in the near term. The Haynesville has the capacity to take more capital in the future. And as we see the market play out, and as we see our execution succeed you could see us add capital to that in coming years. In the Eagle Ford again, less of you're asking about gas, but we feel good about that capital allocation there being stable until something, shows us differently that we should accelerate. And so when we see $5 on the strip or even the November NYMEX price settled at $6.20, which is just remarkable. We don't really want to chase that. We know that is well above our own breakevens and breakevens for  Nick ?- Sorry I had a little bit of a mic problem there. We expect that the prices should moderate the way the strip is backwardated. That said, I mean the backwardation that you see out into 2023 and even into 2024 still delivers a pretty great price for natural gas relative to our portfolio. So we think we can be very prudent in planning for long-term development programs in these assets. We don't want to chase prices higher in the near-term, with a rapid growth ramp and we want to lay out a stable and predictable development program, which results in stable and predictable cash flows.
Charles Meade: Got it. Got it. And then picking up a little bit maybe on the South Texas, piece. But that 15% of your CapEx you talked about PRB and Brazos Valley. But the other one you mentioned is, the Austin Chalk and that kind of sits on top of your South Texas assets. So can you talk about what your pursuing in Austin Chalk whether it's the -- whether you see it as more a prospective on your acreage for oil or gas and what your -- what you're testing there and what are going to be some of the key outcomes you're focused on in end of 2021 into 2022. 
Nick Dell'Osso: Sure. So we've been paying a lot of attention to what offset operators are doing in the chalk near us. We've begun to test it. We don't have any results to report yet. We've seen some very interesting and encouraging results, in the offset operators. And we think we have a lot of acreage that's prospective for similar outcomes. We don't yet know exactly, what the aerial extent is across our acreage and we have a lot to learn about it. But I'll let Sheldon, tell you more about it.
A – Sheldon Burleson: Yes. Thank you, Nick. Yes. So we have the Austin Chalk to think is prospective over a wide area in our asset. And so when you look at where we're at there's really more kind of dry gas to the south. So we believe in our area it's going to be more volatile oil and then potentially gas condensate. So primarily, oil window in our assets. So that's really what we're focused on. We've got plans to drill wells there. And as we see those results, we'll definitely be sharing those. But very encouraged by what we've seen. There's quite a bit of offset activity, right around our position. And so that's a focus area for us at the end of this year and then the end of 2020.
Charles Meade: Thank you. Appreciate it.
Operator: And the next question comes from Matt Porte with TPH. 
Unidentified Analyst : Good morning all.
A – Mike Wichterich: Good morning, Matt
Unidentified Analyst : Just a quick question on the balance sheet, Nick. Where would you like to see your absolute debt load once the buying acquisition I guess it just closed roll through? And then on the maturity window, what left can you do from a balance sheet or debt reduction perspective, as we look out over the next four to five years? 
Nick Dell'Osso: Well we're very comfortable with the debt that we're absorbing in the buying acquisition. We're still going to be well below one times leverage. We're generating a lot of free cash. And so as you roll forward the balance sheet to future periods you see that net debt level continue to decline. We have a little bit of debt that we could go out and prepay. We may do that at some point just to manage cash flows and be appropriate with how we look at it. But we're really not in a rush to reduce debt further than it is. We think some amount of leverage on the balance sheet, is good and helps achieve better returns to equity. And so, we are very comfortable maintaining any balance sheet below 1x and that's really what we have today and what we expect to continue. So, we'll engage in maturity management as it makes sense to do so. We'll always pay a lot of attention to whether or not there's an opportunity to refinance something accretively. And if there is then we would do it. And if prices don't encourage us to do that then we'll allow debt to mature and pay it off as it matures. We expect to have the cash reserves to be able to do that and plan for that over time without a challenge. 
Unidentified Analyst: Perfect. And then I guess just a dovetail to that question. Given how pristine the balance sheet is and given the maturity window. As you think about kind of '22 capital allocation and return of capital with the equity trading at an attractive 20-plus percent free cash flow yield, are buybacks more attractive in your view at this point as you think about incremental returns versus incremental variable dividends, or just more broadly, how do buybacks play into the broader strategy as you step forward? 
Nick Dell'Osso: Buybacks play a role. Buybacks obviously you have to be cautious about in cyclical businesses. The history of buybacks, aren't great. Companies tend to have excess cash at a time when their stocks are high at the moment. I think no one would call our valuation high on a multiple of cash flow. And so, as you look at where things sit today buybacks would be something that we would likely discuss and consider with excess cash. But we've got a ways to go. We need to execute. We need to generate the cash. We need to get there before we begin to make any promises about that. So -- but just philosophically we're very open to buybacks, we're just mindful of making sure that you don't fall into a timing trap in a cyclical business. 
Unidentified Analyst: If I could squeeze one last one in on the operational front. Just curious, if you could give us an update on your learnings around the Upper Marcellus in Appalachia just how you're thinking about that and the potential role in future development. 
Tim Beard Vice: Yes. Thanks for the question. This is Tim. On the upper Marcellus frankly is looking very good, right? We have plus or minus 550 locations in the Upper Marcellus that we really like moving forward. If we look back at our trailing 12 months at the rate of return in the upper relative to the lower, it's just a tick beneath. We're looking at this at a lower commodity price, we're looking at plus or minus 80% to 90% rate of return in the upper versus 90% to 100% in the lower and granted that was probably at $2.25 $2.50 gas price. So, today's commodity prices the upper Marcellus is a star performer in the portfolio frankly. 
Q – Unidentified Analyst: Thank you. 
Operator: Thank you. And the next question comes from Doug Leggate with Bank of America. 
Doug Leggate: Hey good morning, guys. Nick congratulations on getting the CEO spot really interested to see what the long-term strategy is that you come out with over time. So we look forward to working with you in that. I have a couple of questions related to how you think about that strategy? And I guess the first one really tails picks up on a comment you made a second ago about, you don't look expensive on the multiple. Well as you know the multiple is the output. So, I'm curious how you think about how you define value. You've obviously presided over very different strategies in the past. How do you think about defining and creating value going forward? 
Nick Dell'Osso: Sure. So I guess my perspective on the multiple today, I agree with you the multiple is the output but it is usually a good shorthand way to identify whether or not a company is over or undervalued. And if we're undervalued in the market today based on a multiple then my takeaway from that is the market is telling us that they don't yet have confidence in the sustainability of the cash flow that we can generate. And so they're not willing to pay as much for our cash flow as they are for our peers. And so, one of the key ways that I think we need to define value for our shareholders is to execute and show the market that our cash flows are sustainable and that we have a multiyear program that can generate attractive returns across our portfolio. We're going to do that by continuing to have a very logical and returns-oriented capital allocation. We're going to do that by delivering cash to shareholders around the free cash flow that we generate from that capital allocation and we'll do that by continuing to improve upon our profitability along the way, as we lower our breakevens across our portfolio and continue to improve our operating costs. It really has to be all of those things that drive to investors understanding that this is a business that can generate predictable and sustainable cash flows through cycles.
Doug Leggate: I appreciate the perspective, because you completely concur. I would ask and maybe as a comment one of the question. Brad has done an awesome job of giving us disclosure to date sustaining capital breakeven levels, sustainable inventory. Those are the kind of key inputs that I think can really guide that market expectation. So if you can help us with that on a go-forward basis that would be appreciated. My follow-up is a quick one on cash returns. You obviously have a -- like a lot of companies like ample opportunity to decide how best to do that. But again, I want to lean into this issue about sustainable value, variable dividends basically take cash off the balance sheet after you earned it. And if you think about depleting asset base with a finite inventory, which is a generic E&P, it does -- it actually dilutes equity value when you pay a variable. Conversely, share buybacks are more I guess permanent if you really believe that the stock is undervalued. So I'm curious if you could walk us through how you think about the relative bias between those two and how you might return cash.
Nick Dell'Osso: Again, I mean, we set our variable dividend at 50% of free cash flow for a reason, meaning that the other 50% we know can go to other returns-oriented opportunities. Whether that's buybacks or it's reducing debt, if that needs to be done, or it's consolidation of other assets that help achieve great capital allocation, cost reduction, scale and sustainability of the cash flow profile, all of those things should work together. The variable dividend is clearly in place to recognize that at times like right now when you have a very robust commodity price environment, there's no draw on this industry to grow its supply at the moment in a material way outside of -- in the short term clearly, the market is asking for more gas. Then you have excess cash and that excess cash ought to be returned to shareholders and variable allows that to be something that can happen when there is excess cash. And if you get into a downturn in the market where there's less excess cash than it would obviously shrink. Layering on a buyback on top of that, as I noted before, is clearly something that we would be open to in the right time and with the right cash resources. So, I would say, we think about it as a balance, Doug. We think that our Board will continue to debate the best way to create optimal return for shareholders. And we expect to have a portion of that be in dividends, which we've said is 50% of free cash flow. So that's -- I think the all of the above approach still matters that we talked about as early as last spring, when we forecasted that we would have a lot of excess free cash flow and we talked about what's the best way to start returning that to shareholders. We think there's a balance there. And part of that balance again is due to the cyclicality of the industry. There are going to be times where if you are just always using your free cash to buy back stock you'll be buying back stock at the wrong time. So again, balancing how you deliver cash we think makes some sense.
Doug Leggate: I appreciate the perspective. Thanks, Nick. 
Operator: Thank you. And this concludes the question-and-answer session. I would like to turn floor to management for any closing comments. 
Nick Dell'Osso: Great. Well, thanks again for joining our call this morning. In closing, I just want to remind you to think about a couple of things as you continue to evaluate Chesapeake. And there's three principles from which we just will not stray. And the first is that we're committed to delivering sustainable free cash flow and returning it to our shareholders. The second is that we're grounded in our disciplined capital allocation process. And regardless of the price environment, you can trust that we will remain focused on an allocation that maximizes return to shareholders through an appropriate level of investment and a return of capital. And finally, we firmly embrace a lower carbon future and believe our portfolio is uniquely positioned to help responsibly supply the energy that is desperately needed across the globe today. So we look forward to consistently delivering on these principles in the weeks and months ahead and look forward to speaking with you next quarter, if not before. Thank you. 
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.